Operator: Greetings, and welcome to the Orion Engineered Carbons Third Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Diana Downey, Vice President of Investor Relations. Please go ahead, Ms. Downey.
Diana Downey: Thank you, operator. Good morning, everyone, and welcome to Orion Engineered Carbons conference call to discuss third quarter 2018 financial results. I’m Diana Downey, Vice President, Investor Relations. With us today are Corning Painter, Chief Executive Officer; and Charles Herlinger, Chief Financial Officer. We issued our earnings press release after the market closed yesterday and have posted a slide presentation to the Investor Relations portion of our Web site. We will be referencing this presentation during this call. Before we begin, I’ll remind you that some of the comments made on today’s call, including our financial guidance, are forward-looking statements. These statements are subject to the risks and uncertainties as described in the company’s filings with the SEC. Actual results may differ materially from those described during the call. In addition, all forward-looking statements are made of as of today, November 2, 2018, and the company does not undertake to update any forward-looking statements based on new circumstances or revised expectations. Also, non-IFRS financial measures discussed during this call are reconciled to the most directly comparable IFRS measures in the table attached to our press release. I will now turn the call over to Corning Painter.
Corning Painter: Thank you, Diana. Good morning, everyone, and thank you for joining us for our third quarter 2018 earnings conference call. We appreciate your time. Before starting with today’s agenda, shown on Slide 3, I would like to first introduce myself formally to everyone listening who I have not yet met and give some background as to why I decided to join Orion Engineered Carbons. Then, I will discuss my vision for Orion and opportunities to build on our prior successes before getting into our third quarter performance. Our CFO, Charles Herlinger, will then provide detail on our financial results and discuss guidance for the full year 2018. After that, I will come back and share some closing thoughts. Then, we will be happy to take your questions. I’m extremely excited to join the Orion team. Like many of our investors, I chose Orion because it is a company on the move, has a clear strategy and I saw a substantial value creation opportunity here. This has been a seamless transition with Jack Clem joining the Board and continuing to play an important role in the strategic vision of the company. Orion’s strategy focuses on the Specialty and high margin technical grades of Carbon Black. We have manufactured these materials and placed them in the demanding high-value markets. Say it another way, Carbon Black is our core product. We are experts at making it and we aim to sell it at the optimal combination of best price points and volumes possible. It’s a simple and effective strategy. Jack, Charles and the team have done a great job advancing this strategy but I am thrilled to see the amount of runway that remains in front of us. I believe there remains untapped market opportunities and potential in a number of different areas, including the addition of new high-value applications for Specialty Carbon Black, going deeper in geographic markets where we already operate and by expanding in new markets or markets where we’ve yet to fully develop the beachheads that have been established. Please turn to Slide 4. The acquisition we announced yesterday of the Acetylene Carbon Black manufacturer known as SN2A from LyondellBasell Industries is a great example of incremental benefits to come from manning a new application and material to our Specialty portfolio. Acetylene Carbon Black is an ultra-pure highly electrically and thermally conductive premium specialty material. It is used in several applications but our strategic intent is to use it to enter the lithium-ion battery segment. For a little more than $30 million, we immediately got a world-class, well established manufacturing plant that would have cost a similar amount to build and we got a skilled workforce. The plant is already operating at a good capacity utilization but with upside for additional volumes. SN2A has an excellent track record of operational and technological successes, and we are very excited about SN2A, the lithium-ion battery opportunities and other highly conductive applications make accessible with this acquisition. I think there can be confusion regarding the role of Carbon Black in batteries, so let me further explain the market dynamics and opportunity this transaction presents to OEC. There are three primary battery segments in the market. The first segment is DryCELL technology which SN2A supplies with Acetylene Carbon Black today. The second segment is lead-acid and advanced lead-acid batteries which we supply with Specialty Carbon Black. The third segment is lithium-ion batteries which are an exciting opportunity. Lithium-ion batteries are used in increasingly broad set of applications, including, of course, in transportation and mobility where we see a big opportunity in the future. As is the case with many early-stage Specialty Chemicals, Carbon Black for these batteries is a relatively small niche market today, but we expect it to grow rapidly. Beyond that, there are other markets where this premium material can enhance our customers’ products. In terms of going deeper in geographic markets, our Specialty business in North America has yet to reach its potential in terms of penetration and margins. By investing further in technical sales and support personnel and potentially building up customer technology support in the U.S., as we have done in other regions in the past, I believe we can drive both operational and financial improvements. We will take the learnings and infrastructure that have helped drive our Specialty business in these other regions and now also focus and implement them in the U.S. There are also regions where we have been recently active but remaining small relative to the market demand with China being the most significant opportunity. Today, while we are a major importer of premium products into China, we produce only locally about 75 kilotons per year of Carbon Black in the roughly 5,000 kiloton per year market. The China Specialty market, powered in part by environmental regulations, continues to grow rapidly. Based with this opportunity, we need to maintain and even grow our share by adding capacity locally. We will be careful and consider modest investments to ensure we remain a viable player in China. It is my view that a high return investment in Specialty and high-end Rubber Black in the range of 100 to 150 kilotons per year will be easily digestible and provide an excellent opportunity for Orion. After sometime in the lead role, I would like to share some observations since joining the company. I have been impressed with the management team, their knowledge of this industry, commitment to excellence and drive. I have been impressed with our knowledge of customer applications and ability to support them. However, I do see an opportunity to build this out more consistently in key markets. Having visited half of our plants, I have seen firsthand that Carbon Black manufacturing is a harsh process involving high temperatures and a corrosive tail gas. I’ve been very impressed with our plant operating teams who run these plants. There is an opportunity to invest in our plants to support our customers and ensure we are positioned for growth. Going forward, I would anticipate implementing a single-digit million increase in plant maintenance CapEx which would pay off and improve the liability, quality and efficiency. Ideally, these investments can be combined with debottlenecking. After safety, capital allocation is one of the most important responsibilities of a CEO, so I would like to speak to this in more detail. Our priorities are outlined on Slide 5. They are returning value to our shareholders via dividends. Orion has a strong record of a solid and stable dividend and there is no change to our earlier stated position on the strategic use of cash. Maintaining our facilities and complying with environmental standards, investing in growth through targeted expansions, mergers and acquisitions with bolt-on acquisitions like SN2A being an excellent example, finding high-value Carbon Black applications to enter strategic high growth markets, share buybacks and maintaining our targeted debt ratio of 2x to 2.5x EBITDA. There is a time and a place for buybacks when utilized effectively. I am very pleased that we have been able to take advantage of the recent volatility to buy back shares at what is clearly a bargain price not reflective of Orion’s value. I have fully supported this and I am pleased that we have doubled our capacity of buybacks to $40 million. Please turn to Slide 6. Orion has covered a lot of ground so far in 2018. We have advanced or accomplished each of the items on this slide and are looking to close the year on a strong note. I would like to thank the entire Orion team for their hard work and dedication to achieve these milestones, and I would particularly like to thank Jack Clem for his leadership to Orion and assistance to me. Now, turning to slides 7 and 8, I will discuss our third quarter performance. I am pleased that Orion reported a strong quarter. Overall, despite lower year-on-year volumes due to closing a facility in Korea, we achieved double-digit growth in our key operating metrics. Adjusted EBITDA grew 13.2% to $73 million. Earnings per share were up $0.40 and adjusted earnings rose to $0.51 from $0.38 in the third quarter last year. These strong results were seen across the entire Rubber segment, which delivered a historic quarter due to solid execution and stronger spot pricing supported by a robust environment. Excluding the impact of the closure, Rubber volumes increased by 2.7% reflecting a strong demand environment in all regions. Total volumes were down by 2.3% mainly due to the Korean closure which was targeted at improving operational efficiency and eliminating less profitable rubber grades. As good as these results were, I expect 2019 to be even better. Pricing negotiations for 2019 are essentially complete and will deliver strong pricing gains despite the fact that a rubber customer is covered by a multiyear contract that will not reset until 2020. Our outlook for 2020 pricing is even more robust. We have elected not to lock in 2020 at 2019 prices with customers because we believe the fundamentals will continue to improve. Our rationale can be seen in the market. Taking the U.S. as a good example, Carbon Black prices in the U.S. have been below reinvestment levels for many years and remains so today. Reinvestment prices have increased even more as we all now saw enhanced environmental controls. We believe prices have to rise substantially further before new capacity is brought on. We don’t think imports will change this picture. Imports have not been a significant factor in the past due to the quantities required and logistical costs. We don’t see that changing. Given these dynamics, we believe the pricing environment will be strong for several years and do not expect there will be a rush to add new capacity. We see strong demand in the rubber market buoyed by the large replacement tire market. Despite any parts of weakness in regions like China, capacity remains constrained and we will likely be sold out on many production lines in 2019. Profitability in our Specialty segment was in line with our expectations as the rise in oil costs experienced this summer moved through our P&L and brought per ton profits more towards equilibrium after an exceptionally high second quarter result. We have seen a slight decline in Specialty volumes in Asia which we believe is a mix of customers adjusting their inventories and to some degree production rates in response to recent trade-related events. We also saw some slowing in engineered plastics demand in Europe, although other segments such as polymer pipe and wire and cable demand remains solid worldwide. We are pleased with the performance in the first nine months of this year. We are doing a good job of taking advantage of the global economic conditions and favorable supply/demand dynamics, while devoting more capacity to higher margin products. Moving to Slide 9. Let me comment further on our Specialty business. The Specialty business performed as expected as revenue grew 7.3% to $134.2 million reflecting the pass-through of higher feedstock costs to customers and base price increases, partially offset by lower volumes, production mix and foreign exchange rate translation effects. Gross profit per ton was $745, down $38 per ton or 4.8% from prior year. As I said earlier, Specialty volumes declined reflecting we believe a mix of inventory destocking and to some degree customer production rates. We also prioritized high margin Rubber Carbon Black versus lower margin more competitive Specialty volumes in our production slate in certain regions. Slide 10 gives more details on the record third quarter results for our Rubber business. Overall, rubber volume was down year-over-year by 2.1% reflecting the plant closure in South Korea that we mentioned earlier. Excluding this, they were up 2.7%. Gross profit per ton grew 44.9% due to mix and base price increases, the timing between quarters of pass-through of feedstock costs and increased cogeneration income. This gross profit movement flowed through to a 63% increase in adjusted EBITDA per ton. Clearly, our Rubber Carbon Black business is performing well. Fundamentally, manufacturing capacity for tires and rubber mechanical goods has been growing more rapidly than Carbon Black capacity. And the implication of this is playing out in the marketplace. The U.S., European and Brazilian Rubber Black markets are strong. What happens in the China automobile market is less important to us given our footprint and mix of products there. Also, keep in mind that replacement tires provides stability since they account for more than 70% of tire market demand. Slide 11 reflects our view of the impact of IMO 2020 on high and low sulfur heavy fuel oils. It is our view that the 0.5% sulfur specification will be implemented on schedule in March 2020. In summary, there will almost certainly be a higher demand for low sulfur fuels driving up the cost of this material and having the opposite effect on higher sulfur fuels. We believe all Carbon Black manufacturers in regions that use petroleum-based feedstocks will see these changes. We are positioning our contracts to pass through most of this impact. That being said, we will strive to create increased value with this disruption. Slide 12 summarizes our view of world markets. In the interest of time, I’m not going to read through this slide for you. The key point is, is that the healthy supply/demand dynamic created favorable conditions for contract negotiations for 2019 and beyond. The contracts are well advanced in the process as compared to previous years, and we continue to remain optimistic about the favorable supply/demand environment in our key metrics. Now, I’ll turn the call over to Charles who will provide more details about our financial results.
Charles Herlinger: Thanks, Corning. Good morning, everyone. Turning to Slide 13 on our consolidated third quarter results. Overall, volumes decreased by 2.3% or 6.2 thousand metric tons from the prior year’s quarter to 266.7 thousand tons, largely reflecting the impact of the plant consolidation in Korea. On a like-for-like basis, that is excluding the impact of the Korean plant closure, volumes increased by 1.3%. Revenues increased by 17.6% to $394 million in the quarter primarily due to the pass through of higher feedstock costs, as well as base price increases and favorable product mix offset somewhat by foreign exchange translation effects and to a lesser extent lower volumes resulting from the Korean plant consolidation. Our overall contribution margin increased strongly by 8.4% in the third quarter to $143 million versus $131.9 million in the prior year’s period. Now turning to Slide 14. As the waterfall chart on the upper left side of the slide shows, this increase in contribution margin is mainly driven by improved base pricing and mix, the efficient pass through of higher feedstock costs and increased cogeneration income partially offset by negative foreign exchange translation impacts. The second waterfall chart on the upper right-hand side shows the development of adjusted EBITDA. It also shows that the contribution margin increase was clearly the main driver of the improvement in the quarter only partially offset by the timing of fixed costs spend. Adjusted EBITDA increased as a result by 13.2% or $72.6 million. Our adjusted EBITDA margin of 18.4% slightly decreased by 70 basis points versus last year’s quarter reflecting in large part the impact on revenues of the pass through of higher feedstock costs. The waterfall chart along the bottom side of the slide analysis net income development which showed an increase to $24.2 million versus $15.1 million in the prior year’s quarter, as a result mainly of the increase in adjusted EBITDA as well as decreased finance costs offset by higher taxes associated with increased profits. It is important, however, to note that we now expect our effective tax rate in 2018 to be around 31% confirming a further favorable decline in this key metric. Now turning to Slide 15 showing our cash flow dynamics and our key balance sheet metrics as of September 30, 2018. For the first nine months of 2018, we generated a strong $76.9 million in cash from operations, despite the cash consumption impact of $99.9 million associated with higher net working capital in large part as a result of higher raw material costs. This cash generation together with gross proceeds of $64.7 million from the sale of our former plant site in Korea comfortably supported our CapEx investment program. Other uses of cash over the same period include interest payments, required debt repayments and dividends. As a result, our cash position at the end of September 2018 was $55.2 million. The company’s non-current indebtedness as of the third quarter end was $658.7 million with net debt at $609.3 million taking current term loan B and local debt into account, which represents a leverage ratio of 2.1x LTM adjusted EBITDA compared to a leverage ratio of 2.3x at the end of last year. Turning to Slide 16. We are reaffirming our 2018 adjusted EBITDA guidance of $285 million to $300 million with a weighting above the midpoint of the guidance range. Although a rise in energy costs, adverse foreign exchange effects and headwinds associated with trade tariffs and other political uncertainties could lead to a slightly more challenging environment for the balance of the year, we believe that we are well positioned given the strength of our Rubber segment and the continued success of our premium Specialty Black segment. In terms of other guidance, we expect base capital expenditures for 2018 to be approximately $90 million before considering investments associated with the South Korean capacity transfer and before EPA-related CapEx. As for the remainder of our guidance metrics, we expect depreciation and amortization to be approximately $95 million with, as mentioned, our tax rate expectation for 2018 on pre-tax income at around 31%. We’re on track to convert our financial statements from IFRS to U.S. GAAP to take place by the end of 2018 without any significant impact on the previously reported operational performance for 2018 or any prior year. Furthermore, we plan to convert to domestic filer status with the SEC effective in 2019. While these accomplishments are important milestones to be eligible for inclusion in key U.S. stock indices, achieving a U.S.-based group TopCo represents completion of the last step necessary for index inclusion. In this regard, I can now confirm that we have identified what we consider to be a tax efficient route for us to establish our U.S. group TopCo based on current tax legislation. While we now could accomplish this move during the first half of 2019, we believe it is more tax efficient to delay this until the beginning of 2020 to take advantage of further identified steps such as consuming legacy tax loss carryforwards that will significantly minimize our cash taxes. This approach will continue to support the trend established in the last several quarters of lowering the group’s effective tax rate, which has already been reduced from around 35% in 2017 to an expected 31% for 2018. This will, however, not prevent us from attempting to convince Russell and S&P to include Orion in their relevant indices before 2020 given the steps we have already undertaken to meet the relevant criteria, including now having established a route to a U.S.-based TopCo. I will now turn the call back to Corning who will wrap up our prepared remarks before we head to Q&A.
Corning Painter: Thank you, Charles. Orion delivered strong results for the first nine months of 2018 and we look to finish the year strong as we reaffirm our guidance. Beyond that, we believe 2019 will be an even better year. Please turn to Slide 17. We have executed on our margin recapture plan and continue to do so as we speak. We are enjoying robust Rubber Carbon Black demand against the history of modest Carbon Black investment in new capacity. This is driving improved rubber pricing for 2019. At the same time, we are expanding Specialty capacity in Europe and have just acquired Acetylene Carbon Black capacity and another important technology to our array of Carbon Black production methods which is already the broadest in the market. IMO 2020 will shake things up a bit and we are positioned to protect the downside while working to create some upside. Finally, we remain committed to shareholder friendly capital allocation. Again, I’m extremely excited to join Orion and look forward to working with this strong team and established company. Orion’s strategy will remain on course while we also tap into additional ways to drive future profitable growth by looking at new applications for Carbon Black, explore underexposed geographies and improving operations to drive efficiencies at the plant level. Now, we will be delighted to take your questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions]. Thank you. Our first question comes from the line of Mike Leithead with Barclays. Please proceed with your questions.
Mike Leithead: Thanks. And welcome, Corning.
Corning Painter: Thank you, Mike.
Mike Leithead: I guess to start; there’s been a fair amount of concern in the market recently about Chinese autos, weaker tire markets. I was hoping you could maybe triangulate the difference between the continued positive demand you’re seeing versus maybe some of the data points we’ve seen lately in the tire market?
Corning Painter: Yes. So I think one reality is in the tire market in China we’re just not a huge player. We are much more of a specialty and let’s say a high-end Rubber Black player in that space. So when we talk about our vision to our customers in China, which I’m happy to go into, it’s much less slated towards a tire there than perhaps it is for other people. So I’ve looked at some of the same comments you’ve seen and other companies – tire companies that have come up and I don’t think we are in a position to dramatically disagree with them. It’s just to recognize we’re a small player there and therefore we’re able to position our products really in the premium specialty markets.
Mike Leithead: Got it. That’s helpful. And then on rubber pricing, I assume you can’t get into too much detail but is it fair for us to assume that base price increases next year are higher than the level of base price increases this year?
Corning Painter: So for me it’s a little bit of a test on what did they achieve last year. I would just say their robust increases that we have and I think we’ll describe more about that when we come up to the end of the year and we make our forecast for 2019.
Mike Leithead: Got it. I appreciate it.
Operator: The next question is from the line of Kevin Hocevar with Northcoast Research. Please proceed with your questions.
Kevin Hocevar: Good morning, everybody, and Corning welcome and nice start to your tenure here.
Corning Painter: Thank you, Kevin.
Kevin Hocevar: Just wanted to dig into China a little bit more. Just kind of curious just on the Specialty side, it seemed like there was a little bit of volume weakness and you called out China, you called destocking. I’m wondering if you can give us some indication of how that quarter progressed for Specialty and what you’re seeing here and kind of your expectations going forward for volumes there on the Specialty side? And then on the rubber side, just kind of curious, the environment overall in China – are you noticing curtailment starting to occur, like – because I know there’s been changes in how they’re doing. I think last year was kind of a broad blanket sweeping cuts and this year it’s a little more targeted. That’s our understanding. So are you starting to see those curtailments occur? How is the demand environment on the rubber side there? And how’s the pricing holding up there?
Corning Painter: Right. So to speak about China generally, so first of all to the curtailments I think it’s early in the season for that. The heating season really isn’t for a while. So I think that’s yet to be seen how that actually plays out on the ground. I was in China a couple of weeks ago and talked to people from a number of industries and I would say the sentiment in the manufacturing world in China right now is sort of wait and see. I don’t think people are really terrified of a trade war because as you know tariffs and FX can sort of offset each other and the two countries have a history of working things out. But I would say people are just sort of cautious and it’s hard to know for certainty when we see an impact on volume. How much of that is destocking? How much of that is – will then be stocking sort of their downstream supply chain and wanting to run that leaner and therefore cutting back production? How much is end market demand? That’s hard to see. I would say certain sectors that were down in, let’s say, August were not as impacted in subsequent months and so it’s been a little bit spotty in there. And I think we just need a little bit of time to see how this thing plays out for us. In general though, if we’re going to compare this to a year ago just so we’re clear on this, volumes are going to be up substantially from a year ago. There’s no question about that.
Kevin Hocevar: Okay, great. And then in the Rubber segment, in particular, EBITDA increased sequentially from 2Q to 3Q and I think normal seasonality has that declining slightly because you’re a large player in Europe and just the normal summer downtime there. But you were able to improve that. So wondered if you can give some color there, because I think FX turned against you sequentially but at the same time you implemented some spot pricing actions? You had a couple price increase announcements throughout the world. So wondering if that’s what provided the lift or may be help me understand how you got the sequential lift in EBITDA there?
Charles Herlinger: Yes, I’ll take that one up. Kevin, morning. It’s Charles. It’s really more of a mix story than anything else, Kevin. We had a very good mix in the third quarter which really drove part of that increase. And the other factor was for a variety of reasons, including energy sales and also the way some of our formulae work, we benefitted from a pickup in the oil prices. We talked over many quarters about the fact that the Rubber business does quite well typically as within reason as oil prices rise. Those are the factors.
Kevin Hocevar: Okay, great. And just last one for me on the SN2A acquisition. It sound like it cost $30 million. Could you give us any other idea for the sense of sales and EBITDA contribution and how fast the business is growing, just some other metrics around the business?
Corning Painter: Yes, I think the key thing to understand about this business is that for LyondellBasell the key priority was getting rid of Acetylene, right? They had a byproduct. When we bought this, we have to commit to continue to take that which of course we’re happy to do. Sales were modest, let’s say, under 10 million; EBITDA was modest. And so the way to think of this is not so much, boy, you bought it for that existing business. You bought it because you got a plan. And we believe we have the opportunity and the capability to bring this into just simply different market segments, and most excitingly for us to get actually into lithium-ion battery.
Kevin Hocevar: Okay, great. Thank you very much.
Operator: The next question is from the line of Mike Sison with KeyBanc. Please proceed with your questions.
Mike Sison: Hi, Corning. Looking forward to working with you again and congrats on a nice start.
Corning Painter: Thank you, Mike.
Mike Sison: In terms of Rubber Carbon Black pricing, I think you noted in your opening comments that pricing is still pretty far away from the capacity expansion economics. So I’m just curious how far away are we from today? Is it 20%, 30%, 40%, 50%? And how soon do you think the industry can get there to support new capacity?
Corning Painter: Great. That’s an excellent question. Let me speak to that. So maybe just a little anecdote. I was with a customer a couple of weeks ago and they were complaining to me basically about the increased prices for 2019. And one of their comments was, we’re paying all this more money and we’re not going to get investment, we’re not going to get new capacity. And in the nicest possible way I tried to explain, you’re right, you’re not and we’re below that point. And that is the fundamental thing here and people have added rubber demand especially for things like off-road products which use a lot of Carbon Black. So that’s kind of the rub. And I think how soon it’s going to be, it’s going to turn out on really how the next cycle of pricing goes. My belief is we’re probably in the neighborhood of two pricing cycles away from the point when it’s going to get to reinvestment in North America certainly. But if next year moves in a really big number, well that could change and that’s going to depend on the market dynamics.
Mike Sison: And then you talked about contract pricing being accelerated this year and given your background on your products, you guys are really pros at contract pricing. So do you see any opportunity to change the way the Rubber Carbon Black industry does their contracts? Are there opportunities to have longer term contracts? What’s just sort of your thoughts there in terms of the way the industry has contracts to the tire --?
Corning Painter: Yes, so I have brought up that topic, as you can imagine, with several of our larger and I would say of companies who are more strategic thinking, right? Because of them, swings like what’s happening and going into 2019 is challenging for their planning purpose and yet the point is yes, it’s still below reinvestment point. So there’s a little bit of a discomfort in the current model which I think creates a window to potentially think about changing what the business model here is. So I’d say that’s possible. It’s absolutely something I’ve explored with customers. I respect Jack Clem tremendously. He’s been a tremendous help to me in this transition. And Jack just points out that this is – the current approach is sort of deep history in this industry. So we’ll have to see how that goes. But absolutely – I think it would be good for all the players if we move to a more stable contracting system here.
Mike Sison: Great. And then one final question on the Specialty Carbon Black business. Organic growth there has been very good for the last several years. But I’m just curious your thoughts on where EBITDA margins should be or what level it should be? It’s come down quite a bit from the mid-30s in '16 and you’re hovering mid-20s now. Any thoughts of where that business should be in terms of profitability?
Corning Painter: The whole issue of margin, is that the right way to think of it? And I think we would argue no, because we’ve got this energy pass through issue. So I think we would put it more on $1 per ton in terms of the profit margin on that. And we’ve given a range before I think of 750 to 800, let me just say though that that’s like an average over a lot of different products. And the nature of the Specialty Chemicals business is this particular grade mix, whatever, is very effective in one particular application. You kind of have to be the best in that application and the other application is this one. So depending on how much value you’re creating for the customer, you can drive the price point and your profit from it quite substantially different from that average. So I just want to make it clear is not like we’re pricing and saying, oh, this is the kind of margin we want. We price to the value we create and the market forces that are out there. And that tends to average out in that kind of range historically and I don’t see any reason to change that.
Mike Sison: Got it. Thank you.
Corning Painter: Thank you.
Operator: Our next question comes from the line of John Roberts with UBS. Please proceed with your questions.
John Roberts: Thanks. Welcome, Corning.
Corning Painter: Thank you, John.
John Roberts: At Air Products, one of the big changes was going from global gas structures to regional structures. And at Orion you have global segments for rubber and global segments for specialty. And the Specialty Black business seems global to me, but the Rubber Black business seems much more regional, like gases. Is the Orion Rubber Black structure already regional enough in your opinion or does it need to be more regionalized like you did at Air Products, or is that a bad comparison because of the global tire companies?
Corning Painter: Well, I’d tell you even – look, I think in any distributed company and both these companies are similar in that that you have a number of production sites all over the world, there’s always an element of being local to that. You can’t function without that. So obviously there’s some local structures in place here. I think it’s worth thinking through what the structure of Orion is and how we go to market with that. But I would just say I’ve been here 60 days. I’m in the process of learning the systems and so forth. So I would just acknowledge your point that there’s an element of global and local dynamic and you need to be able to do both of those well to succeed in this place or in this market space. And where exactly we make tweaks going forward, just give me a little more time on that.
John Roberts: Okay, that’s fair. And then is it fair to think about parallels between Carbon Black and the gasification of resid [ph] and partial oxidation businesses for the industrial gas companies. And I think one of the main differences there actually is I think Carbon Black is a much lower efficiency process. I don’t know if that’s fair, but I thought maybe plant efficiency might be a major target for you.
Corning Painter: Clearly, I come from a very strong operational background. So I would say plant efficiency is like a steam methane reformer or epoxy [ph] unit or whatever. There’s a lot of waste energy. And so how we either sell that waste energy or convert into high quality electricity, that’s an opportunity for us here. The yields, so carbon-in, carbon-out are opportunities for us. Uptime at the facilities, quality mix because we’re a specialty player, all those things, debottlenecking, they’re all in there. What’s interesting about Orion is this company is to some degree a collection of companies that got acquired and sort of rolled up over time. So our set of plants there’s a fair amount of diversity amongst them and diversity in what the actual production lines are in each plan. And so that gives us some challenges and some advantages. And I think one of the issues here is that each one of those things I just rattled off might be most appropriate for a particular line in a particular plant but a different opportunity, maybe even the same plan on a different line.
John Roberts: Okay. Thank you.
Operator: Thank you. The next question is from the line of Chris Kapsch with Loop Capital. Please proceed with your questions.
Chris Kapsch: Good morning and Corning belated congrats here in your new role. So you mentioned strategically a couple of opportunities that you see, albeit 60 days in here. On expanding the applications range and presuming you’re talking more on the specialty side of the business. I’m just wondering if you look at the organization, do you feel like you have the right skill sets and commercial reach and applications development personnel in order to go after some of these opportunities that you might be seeing or will there be a meaningful retooling of the organization, the additional resources to go after some of these opportunities that you referenced?
Corning Painter: Right. Excellent question. So first of all, I’d say the SN2A acquisition is an example of retooling and with that we got the manufacturing facility but also some people who market that today for them. In general, to enter a new market you’re looking to bring in some people, not many, who perhaps come from that end industry and know it very well. And it’s easy to start to get that person up to speed on Carbon Black or in my path like industrial gases. And then that person is able to go out into the industry – the customers’ industry with a high degree of credibility and talk it through. So, yes, if you were looking at a new market that you wanted to enter to bring in a couple people like that would be an appropriate and like a pretty well worn path on how to do it. But I would just say of the current people here, our technical support, sales applications, that sort of thing, I meet with them. Many of them are from the industry they serve and they have got a very good understanding of it.
Chris Kapsch: Okay, that’s helpful. And then in terms of more on the process side and opportunities there in terms of efficiencies, it sounds like you rattled off a number of things; yields, cogen, plant uptime. Is it safe to conclude that the incremental increase in CapEx that you had referenced is targeted at these yield opportunities and is there any way to sort of frame up what the opportunity is quantitatively and over what timeframe, or is it just too early to really talk about that?
Corning Painter: Yes, I’d say there’s one other element though of maintenance capital and that’s simply uptime. And our loading on our facilities of the lines that we’re running in many parts of the world is over 90%. So there’s also a value in just making sure you can keep the plant up for that percentage of the time and so we’re not impacting any customers and we’re squeezing and sweating the assets just absolutely as hard as we can. I don’t think we’re in a position to kind of outline what we think this is going to get us this in that kind of timeframe. And I think it’s just a mix of both investing to keep the wheels on the bus so that we make all those sales and we can maintain these high levels of loading as well as creating some efficiency gains.
Charles Herlinger: Chris, we’ve talked in the past and it still applies regarding yield improvement, 1% improvement in yield. Literally the amount of carbon we get out of our feedstocks depending on a feedstock price is round about 7 million to 8 million per year of increased EBITDA. So it’s meaningful but you’ve got to get it. And that rule of thumbs still applies in the context or everything else calling us out.
Chris Kapsch: Got it. That’s helpful. And then just one follow up on the characterization at this point on the contract negotiations in the Rubber business. You mentioned the pricing. You mentioned also that you foresee 2019 being sold out. Does that imply sort of static market shares based on the outcome of the negotiations at least this far or was there any notable share shifts one way or another?
Corning Painter: I think the priority of the tire manufacturers and the big MRG companies right now is just securing their supply for next year and I think that’s why the contracts went down early. And I think in that kind of environment it means it’s relatively stagnant. I was just in one of our field locations recently and we had sort of priced our way out of one company and we’re able to sign up another at the kind of price points we were looking at. So I’m not saying there’s no swapping. But I think in general there’s not huge shifts going on right now. I don’t think that’s the priority of the customer.
Chris Kapsch: Got it. Thank you.
Operator: [Operator Instructions]. The next question is from the line of Laurence Alexander with Jefferies. Please proceed with your questions.
Nicholas Cecero: Hi. This is Nick Cecero on for Laurence. So you talked a little bit before about destocking in China. I was just wondering, are there any other areas where you might see some destocking?
Corning Painter: Either conceivable [ph], we have that there and some of that playing out in other parts of the world. I wouldn’t say no, not at all. But I think that’s where we have the most potential exposure to it in terms of channel to market and where there’s probably the most uncertainty in the end market. I’d say the automotive market in Europe right now, some of the environmental rigs [ph] is a little bit uncertain. But I wouldn’t put that as a destocking issue.
Nicholas Cecero: Okay, great. And then you also had mentioned before how that’s extending into new markets and I was wondering can you provide some more color in sort of maybe what markets you would like to be in that you currently aren’t in and maybe some current markets that you actually like to expand?
Corning Painter: Right. So I think on the market, there’s a couple of things out there. So first of all, we just simply like to do better in the United States where we already are in our Specialty business. That’s an opportunity for us. We would like to keep with the growth that we can enjoy in China. That’s an opportunity for us. We would like to get into batteries in a more meaningful way. SN2A is an example of that. And so that’s maybe a geographic build out, a geographic can I go deeper, let’s say China and an example of a different application. And they are all real, they are all happening.
Nicholas Cecero: Great. Thank you.
Operator: [Operator Instructions]. Thank you. Ladies and gentlemen, we’ve reached the end of the question-and-answer session. I will now turn the call back to Corning Painter for closing remarks.
Corning Painter: So I’d like to thank you again for joining us today. We really appreciate your valuable time. As you can sense, we’re excited about the opportunities and the long runway we see with our existing strategy here at Orion. And we pledge that we are going to be good stewards of our investors’ money as we move down that runway. And just finally to say I’m very pleased to be part of this story. Thank you for joining us. Have a good day.
Charles Herlinger: Thank you.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.